Operator: Good morning and good evening. First of all, thank you all for joining this conference call and now we’ll begin the conference of the fiscal year 2009 first quarter earnings results by LG Display. This conference will start with a presentation, followed by a divisional Q-and-A session (Operator Instructions). Now we shall commence the presentation on the fiscal year 2009, first quarter earnings results by LG Display.
C.H. Lee: Welcome to LG Display’s first quarter 2009 conference call. I’m C.H. Lee, Senior Manager of IR Team. On behalf of LG Display, I would like to welcome everyone to our global quarterly earnings conference call. I’m joined by Kevin Choi, Vice President of TV Marketing Department; Davis Lee, Vice President of IT Marketing Department; [C.S. Chun], Senior Manager of Mobile Department and Y. H. Jeong, Senior Manager of the Market Intelligence Department We have around one hour for this call. We will spend the first part of the call explaining key issues for the quarter, which correspond to the slides available on our website. Afterwards, we will take your questions. Before we move into our earnings results, please take a minute to read the disclaimer. We are reporting in consolidated Korean GAAP. US GAAP numbers will be posted on our website in the near future. I’ll start with the first quarter 2009 earnings results, followed by the performance highlight and outlook. Afterwards, we will take your questions. Please turn to the next slide. Firstly, we will present our earnings results from the first quarter 2009. Please turn to the next slide. Revenues in the first quarter of around KRW3.7 trillion are down 12% quarter-on-quarter and down 9% year-on-year. COGS per square meter in US dollars decreased around 10% quarter-on-quarter. We recorded an operating loss of KRW 412 billion. Our EBITDA margin was about 4%. Next slide please. As of March 31, 2009, we have around KRW 3.6 trillion in cash. At the end of the first quarter, our finished goods inventory level for largest [tenants] was very tight, of less than two weeks. The inventory level of post TV and IT at the end of the quarter was less than two weeks. Our liabilities to equity ratio, was 110% and current ratio was 130%. Our debt as of March 31 was approximately KRW 4 trillion, which was slightly increased from the previous quarter; however, it was mainly from the [40%]. Our net debt-to-equity ratio as of March 31 was 5%. Please turn to the next slide. Cash at the beginning of the first quarter was around KRW 3.4 trillion. Cash flow from operating activities was KRW 1.1 trillion. Cash flow from investing activities was negative KRW 1 trillion. As a result, cash at the end of the quarter was increased KRW 140 billion to around KRW 3.6 trillion. Next slide please. Now I’d like to go over our performance highlights. Next slide please. During the first quarter, our shipment decreased about 3% to 3.8 million square meters. Compared to the end of Q4 last year, our Q1 ASP stabilized without further decline and in case of some models to ASP even slightly increased. However on average, ASP of per square meter decreased about 12% quarter-on-quarter to USD 659. For the TV segment, the average ASP per square meter in the first quarter fell 15% and for IT, it fell 8%. Please turn to next slide. During the first quarter, the TV segment represented 56% of our revenues, followed by monitors at 23%, notebooks at 16% and applications at 5%. Next slide please. We have successfully started mass production at our Gen 8 plant in March and the ramp up is right on track at the moment. Our average utilization rate in the quarter was 93%. The total production capacity slightly decreased during the quarter. This is from the 18 month retooling activities, solid at the end of last year, as well as the reduced calendar days compared to the last quarter. Next slide please. Directly, return to our outlook section. Next slide please. In the second quarter, we anticipate the market to improve due to the strong panel demand, especially for the TV segment. Also we expect the IT panel demand to increase gradually due to seasonality, as well as the demand increase from some makers. We expect our quarter shipment to increase by a mid to high 20%’s. The shipment for both TV and IT segments are also expected to be at this level as well. In case of ASP, we expect a gradual increase during the quarter. COGS reduction per square meter in the second quarter is anticipated to be a mid single-digit percentage. Our CapEx for 2009 is estimated to be around KRW 2.5 trillion. Thank you. This ends our presentation for the first quarter 2009. We are glad to answer your questions now.
Operator: (Operator Instructions) Your first question comes from Brian White - Collins Stewart.
Brian White - Collins Stewart: I’ve got a question on a couple of things. Number one, when we look at inventory out in the channel for IT and LCD TVs, how many weeks are we talking right now?
Davis Lee: Since, our customer was very concerned about the first quarter projection of this year; they reduced their inventory quite aggressively. So as a result of that kind of inventory recession activities, now the industry’s inventory level is very healthy; that I can summaries. Kevin.
Kevin Choi: This is Kevin Choi, speaking for LCD TV area. LCD TV inventory level, there is two different kinds of inventory level; one is, the retail channel inventory and the other is TV producers inventory level. Retailers inventory, it depends on different retailer, but normally they think that about four weeks inventory or three to four weeks inventory in normal, but most of them, the inventory level is about one to two weeks short right now and the TV producer also, compared to their normal inventory, it depends on different company, but one to two weeks short right now. So, all together average wise I think there’s two to three weeks shortage situation right now. That’s the inventory situation.
Brian white - Collins Stewart: Okay. When we look at pricing, where do you expect the biggest increase in pricing in the second quarter versus the first quarter in terms of market TV versus IT and in terms of sizes? I think the smaller size is tighter than the larger, but you could add more color on that. That would be great.
Kevin Choi: TV side, most severe shortage was in 32-inch area in the first quarter and now we are experiencing 32-inch and below also 42-inch and 47-inch; all models is the shortage situation. Since February started, initially January 32-inch and below the shortage happened. February and March came, not the small one or bigger one, all the models right now are in shortage situation. So we start increasing the price of 42-inch and below, but from April, we actually start 42-inch and that kind of and above; that’s also starting right now.
Brian white - Collins Stewart: What type of increase should we think about for the TV market in the June quarter, a low single digit price increases?
Kevin Choi: It’s hard to tell because it just increased right now, because still we are doing the monthly price negotiations. So May, June still is too far, so maybe, but its not low single digits. I can tell its not low single digit.
Brian white - Collins Stewart: Meaning it will higher?
Kevin Choi: Higher than low single digits.
Brian white - Collins Stewart: Just finally, when are you going to put up the US GAAP results? I don’t see the US GAAP results this morning; only the Korean GAAP.
Davis Lee: Yes, we know that. Actually we’re going to post it in May presumably. So, if we post it on our website, then I will let you know. The IT side pricing issue, we need to have two perspectives in case of IT pricing. First is the second half of industry experienced the unprecedented price drop in a very short period of time and the manufacture of the display suffered a lot of the losses. The majority of those suppliers of pricing is way under cash cost and since economic the downturn has been more than three quarter as of today; I don’t think that the industry can no longer afford that kind of price erosions. So that is the supplier side, but the demand side is, as we have experienced in the TV case, the IT side tool have to have that kind of the demand increase; especially during the first quarter we experienced stronger than the expectation upside in monitor side. The notebook side; usually notebook follows the pricing off monitor, two month or three month behind. Now the industry’s inventory level began to get to normal. We are seeing some of the upward pressure for notebook side too. So short term point of view, since the IT side profit margin is lower than the TV side, the upward pressure for IT side is going to be bigger than the TV side, that I can tell you; explain you like this way.
Operator: Your next question comes from Andrew Abrams - Avian Securities.
Andrew Abrams - Avian Securities: I wonder if you could give us a little help on the CapEx for 2009. If you could break it out in terms of where you are going to be spending and how much of that 2009 number represents 2008 spending that might not have happened and that got pushed into 2009?
Davis Lee: Yes, we actually guided KRW 2.5 trillion for our 2009 CapEx. So, around KRW 1 trillion for the Gen 8 and Gen 6 extension and another KRW 0.6 trillion were for the LTPS investment and the other around KRW 1 trillion were for our maintenance CapEx. So that is the breakdown of our investment at this moment.
Andrew Abrams - Avian Securities: Is there any of that that got pushed from 2008 into 2009 even earlier in the year?
Davis Lee: Yes, it was already reflected in the numbers.
Andrew Abrams - Avian Securities: Okay, so it hasn’t changed from what you already had?
Davis Lee: Yes
Operator: Your next question comes from Jae Lee - Daiwa Securities.
Jae Lee - Daiwa Securities: I just have a quick question regarding your net losses. I noticed that it has narrowed quite substantially compared to 4Q ’08. So, could you go over like what are the major items for the non-operating side, like acuminate the losses and also like FX related?
Davis Lee: Yes, do you mean the difference between our operating profit and the net income?
Jae Lee - Daiwa Securities: Yes, that’s correct.
Davis Lee: Yes, the main reason is coming from the deferred tax asset increase which affects the tax expense actually. So, if you at our PL, it is actually the positive effect on our net income. So this quarter actually, deferred tax asset has been increased, effected by our net loss as well as some tax credit for our investment.
Jae Lee - Daiwa Securities: Alright, but in 4Q ’08, things like agreement losses were quite substantial, but just looking at the pre-tax loss margin, the first quarter I guess like pre-tax losses were much smaller than the 4Q ’08? So it doesn’t mean that agreement losses have declined quite substantially?
Davis Lee: Actually our price fixing rate expense was reflected as non-operating expense at that time, so that is the difference and our net operating income and net operating expenses, actually it doesn’t make any big difference at this quarter.
Operator: Your next question comes from Jeffrey Toder - RBS.
Jeffrey Toder – RBS: First question, you mentioned how we’ve seen inventories rundown to abnormally low levels and we’ve seen a pickup in utilization rates, both of your company and other panel makers. How much of that do you think is related to moving inventories back up to normal levels and how much of the demand that we’re seeing do you think reflects the end markets?
Kevin Choi: I think the TV side, our inventory level I think that we need to go back to normal inventory level. I think that we need about one week. About one week we need to increase our inventory level to go back to normal.
Jeffrey Toder - RBS: Do you think that sign of return to normal inventory level has already been reflected in the orders that customers have put into panel makers?
Kevin Choi:
Jeffrey Toder - RBS: But, why do you think that?
Kevin Choi: It depends on the market situation. If the situation is really, really even in end of June, still a bit shortage situation, then our inventory situation maybe also several days short when we end it. So, it depends on the market situation.
Jeffrey Toder - RBS: I guess my question is that looking at low inventories at a time when either the industry is running at full utilizations or hasn’t changed the utilization is quite a valid metric, but looking at low inventory levels when we’re seeing production and panel makers already ramp up, it seems to be electing important signal, than it would be in other circumstance; is that fair?
Davis Lee: Let me answer your questions; this is Davis Lee. Earlier I explain that industry cleared most of those inventory issues and now their inventory, customer side, is the tide and better than normal situation. On the other hand, our side inventory level is very low, less than two weeks. In some monitor case, we are seeing some of the lower than 10 base DSI tool from time-to-time. So judging from that kind of facts, we too believe that the current inventory level is going to be tight throughout the second quarter, even without the customers, the bigger demand during the first quarter, inventory level reduced. The fact that the customers inventory hasn’t been increased, on the other hand reduced, that tells that the demand is increasing. Even though we cannot tell you for sure where it is, the demand is out of just the general staffing or real sell through, but the inclining tool I believe that it’s more of those demands clearly from the demand side.
Jeffrey Toder - RBS: Now, just back to guidance for a minute, you guided for a gradual increase in prices, what does that mean? Does that mean you expect prices to continue to rise sequentially throughout the quarter or you’re looking for an overall increase in prices on a quarter-on-quarter basis?
Kevin Choi: It gradually means that monthly continuously price increased the possibilities very high.
Jeffrey Toder - RBS: Okay and if we were to think about that as ending up as mid single digit increase on a Q-on-Q basis, would that be a fair assumption?
Davis Lee: No, it is very difficult to say; that’s why we give our guidance as it’s like this description. So it is definitely the pricing were improved definitely, but we cannot say exactly. That is what we are saying at this moment, but actually considering the current market situation, that do not meet our customer demand fully actually, so our pricing pressure is very high at this moment.
Jeffrey Toder - RBS: Right and there are actually a lot of orders coming to other panel makers, who have lowered utilization rates as well? Okay and you didn’t give any guidance on margin this quarter following the program, as well as the last quarter. Can you kind of give a range of where you think you might be on your EBITDA margin?
Davis Lee: No. Actually, we didn’t provide profitability related guidance last quarter and at this quarter also. So, this means that this industry is much more volatile and it is very difficult to stay at a certain range or specific numbers. So please understand our difficulties in forecasting that numbers.
Jeffrey Toder - RBS: That’s okay, that’s our job to do, forecast anyway. Okay and your cost improvements missed your guidance a little bit and that’s kind of the second quarter that you’ve missed. Is there any reason you could point to for that?
Davis Lee: No, actually we guided low teens in the first quarter. So yes, exactly we’re also [Inaudible] the percentage; it is almost the same with our guidance actually.
Jeffrey Toder – RBS:
Davis Lee: It is almost the same, but our Q2 guidance assumption was around 1400; 1350.
Jeffrey Toder – RBS: 1,350 for 2Q?
Davis Lee: Yes.
Jeffrey Toder – RBS: What was your 1Q number?
Davis Lee: 1Q actual number was 1400.
Jeffrey Toder – RBS: 1400, okay and so when you gave your guidance for costs, those are the numbers that you used to translate to US dollar?
Davis Lee: Yes, it was. Yes, right.
Jeffrey Toder - RBS: Okay and what is the capacity of P8 at forecast at the end of this or your 8.5G end of this quarter?
Davis Lee: When we had a Korean conference this afternoon, also we communicated we would approximately adjust our Gen 8 facilities capacity spending on market demand actually. So, it is quite depending on our market development actually.
Jeffrey Toder - RBS: Okay and 6.5G starts this month, right?
Davis Lee: Yes.
Jeffrey Toder – RBS: 6G extension?
Davis Lee: Yes, right.
Jeffrey Toder - RBS: What is the initial capacity?
Davis Lee: It worked up from 15K actually.
Jeffrey Toder - RBS: I’m sorry I missed some of the explanation on taxes. I guess the biggest issue is how should we think about taxes for the current quarter? Not the first, I don’t need an explanation of the first quarter.
Davis Lee: Actually we will have some tax credit for our investment and also the other part was our profitability related. Actually if we realize loss then we will have another tax benefit for debt, but it depends on our profitability, but I think we will have some tax credit for our investment. Actually we have invested a lot this year, especially for this quarter and the last quarter. So, we will have some benefit.
Jeffrey Toder - RBS: Just for the investment tax credit side of it, what kind of number are we thinking about, $50 billion or a higher number?
Davis Lee: No, it is very complicated to calculate certain numbers, so…
Jeffrey Toder - RBS: I realize that. It’s hard for us as well.
Davis Lee: Yes. So, we need more time and more effort to come out with the numbers. So we didn’t have the fixed numbers at this moment.
Jeffrey Toder - RBS: Okay and do you think if let’s say all the major producers were running at 100% this quarter, what do you think the supply/demand balance might be; and that’s just the five biggest producers, the rest of the guys are doing whatever they’re doing now; so yourselves, Samsung, AUO, CMO or maybe Sharp?
Y. H. Jeong: This is Y. H. Jeong speaking. In Q2 we think of the average utilization in this industry for all the panel makers and all the path around 80% to 85%; 1which is high supply and demand. So, maybe I think it is more than 5% in utilization, it could be balanced we think.
Jeffrey Toder - RBS: Okay, so if it’s 80% to 85% now and a run up to say 85% to 90%, you would think we’d be balance; and if we run up to 100%, then we’re obviously being over supplied?
Davis Lee: But currently it has the component shortage in the industry, including the drive IC and PCB and other some components. So also the profitability issue supports some suppliers. So, these factors are the limit, the increase of the utilization footing we think.
Jeffrey Toder - RBS: So, you think that 80% to 85% is the maximum the industry can support right now; right?
Davis Lee: That’s our estimation.
Jeffrey Toder - RBS: That’s your estimation. Now, the component shortages should work their way through, right, because that’s just a matter of time, especially when you’re talking about drive varieties. I mean there’s obviously a time lag?
Y. H. Jeong: We are getting data over time we think, but also another possibility from the glass. The industry, the utilization is increased higher than the expectation planned. So we understand some surprise cannot meet the current utilization increase.
Jeffrey Toder - RBS: So you think that there’s not enough class to meet the utilization increase.
Davis Lee: For Q2.
Jeffrey Toder - RBS: Is that a structural issue do you think or just a temporary issue, because…?
Davis Lee: For the glass, it takes a long time to be the operation from some dip here and some [Inaudible]. So I understand it takes three months or some cases four months. After deciding the operation it takes a long time. So it takes around that the one quarter.
Jeffrey Toder - RBS: Now that’s obviously not an issue in Korea. So you secured all of the glass necessary to ramp up your facilities and Samsung obviously has this well, so do you think that’s issue in Taiwan then?
Davis Lee: Yes, I think about Korea makers, the utilization is inline with our original plan, so it don’t make any problem.
Jeffrey Toder - RBS: So, you don’t expect that the glass shortage will affect any of your plans?
Davis Lee: Yes
Jeffrey Toder - RBS: Okay and so therefore you must think that it will affect the Taiwanese? Well, it’s always the Koreans, the Taiwanese and the Japanese, right.
Y. H. Jeong: We don’t want to mention a specific name or country or a corporation here.
Jeffrey Toder - RBS: But it’s fair to say that you don’t think that you will experience any problems with your glass supply?
David Lee: Actually as Y. H. Jeong said, we actually maintain higher utilization rates than any other companies in Korea, so the glass makers in Korea also they have some maintained very well their performance and they will not have any problem at all.
Operator: Your next question comes form Brian White - Collins Stewart
Brian White - Collins Stewart: Just on the glass shortage, in terms of pricing, will glass pricing actually go up quarter-on-quarter or will we just see a less of a severe decline versus the March quarter?
Davis Lee: I understand your question, but it is not appropriate to mention about it here. We, actually our direction for cost reduction is to cut every cost, including every major item. So that is our direction anyway.
Brian White - Collins Stewart: Okay and then when we look at units or rather volume in the June quarter, you gave us kind of an overall volume change quarter-on-quarter, which looks very strong. Could you just provide more granularity on how that might look between TV, notebook and then monitor?
Y. H. Jeong: Yes, actually if you refer to our guidance actually, our shipment will increase with high 20%’s across all items including the TV and IT area also. So you can refer to that numbers.
Davis Lee: If I may add something on that comment; it is quite a sensitive issue for LGD at this moment to specify the incremental volume during the second quarter, but I can recommend for you to do the easier methods, also Gen 8 incremental capacities mainly for the TV and the Gen 6 extension is for the IT side. So that is the kind of a simple rule of thumb for you to have some projections. At this moment, unfortunately due to the tight supplies, it is a price sensitive issue to disclose specific numbers of increase in each segment.
Brian White - Collins Stewart : Okay, that’s fair. What are your general; just if you could provide some color on the TV market in terms of strength by size. That would be 32-inch in under strength that you expect in the June quarter versus 42-inch to 47-inch strength?
Kevin Choi: Generally speaking, because of the economy recession, many people say that 32-inch below area is quite strong and another thing is that in China market, because of the government support, that 3500 RMB that’s normally covering 47-inch and below size. Higher than 43-inch price is higher than that; so to get the benefit from that government support, that kind of size product also the number can be increased. When we look at our customer only, our customer only situation is always different, because this year after first quarter when I look at that, our customer market share in the 42-inch and 47-inch, that area is continuously growing right now. So, our company case is always different with worldwide market situations; so that’s our situation.
Brian White - Collins Stewart : Okay and then who were customers that generated more than 10% of sales in the March quarter?
C.H. Lee:
Brian White - Collins Stewart : Okay and that’s for total revenue or just for the TVs?
C.H. Lee: Just TVs.
Brian White - Collins Stewart : Okay and do you have a total revenue number?
Davis Lee: No, we don’t at this moment.
Brian White - Collins Stewart : Okay, and just finally on the tax rate, what’s a reasonable rate whether it’s a positive impact or a negative impact for the June quarter? I think some of us have been using a 20% rate, is that reasonable?
C.H. Lee: Yes, but actually our statutory tax rate will be around 24%, but this year actually as I said, they all go by some tax benefits from our investment. Actually it will be below 20% I guess. So as I said before it was decided yes, so we need more time and effort to calculate that number.
Brian White - Collins Stewart : Okay and in the June quarter, it sound like there is a possibility you could be profitable, is that a reasonable statement?
Davis Lee: We cannot say at this moment profitability wise. So anyway we will, every tax like every other panel makers will make every effort to be profitable, but we cannot say at this moment.
Operator: Your next question comes from Sanjeev Varma - Daiwa Securities.
Sanjeev Varma - Daiwa Securities: My first one is on China demand side. Could you give a little bit of color out of your total TV panel shipment last quarter? How many percentage has gone to China?
Kevin Choi: This is Kevin Choi from TV. The regional specific shipment information, I think that it is not appropriate to release that information now.
Sanjeev Varma - Daiwa Securities: Okay and basically my thought was like how China markets you think that will grow for you in second quarter from first quarter level, given all these measures or government stimulus packages are there now? Quantum and what is the quarter-on-quarter increase on the China market you are looking at in the second quarter compared to the first quarter?
Kevin Choi: I think that the important issue here for us in China market is that we want to continuously support our customer in China and the China market growth ratio, we are expecting this year China markets growth ratio is at a 60% level. Then if our customers want to grow that kind of percentage level, basically we want to support that, so that our customer can keep their markets shares in that country; that’s our basic position.
Sanjeev Varma - Daiwa Securities: Then the second one is that LED backlight, can you make some comments on what was the percentage of your notebook panel shipment; you have done it already backlight on the first quarter and what is the status on the TV side?
Davis Lee: Okay, this is Davis Lee from IT Marketing. Notebook side, we are seeing this year about 60% LED transition, but given that most of the new program or new product introduction is really based on the LED backlights in case of notebook, so as we move on towards the second quarter and the third quarter more repeated transition through LED backlight will happen in the notebook side and our internal market share is also inline with that; a little bit bigger than industry total transition ratio. In case of monitor, only during the fourth quarter guidance we explained that monitor market will also have LED backlights. Time LED between the notebook and the monitor side is about a year. So, that means that the premium for the LED backlight is going to be reduced. So sometime next year, that so called clarity between early backlight and LED backlight might have produced some major model; that’s our expectation.
Sanjeev Varma - Daiwa Securities: On TV side?
Kevin Choi: TV side is just starting right now. So, it’s still too early to say, but we think that we are just following the market average percentage.
Sanjeev Varma - Daiwa Securities: Do you think that TV will account about 5% of the early to backlight for your TV panels or it will be lower than that?
Kevin Choi: Lower than that, because this is just a new market, so still that total volume in the market is not yet big and it’s a premium for TV set right now, compared to even highest priced TFT sale model. LED TV set prices are still almost at 40%, 50% higher price, so still there is a big price gap. So I think that this year the number should be very small number. We are expecting the next year, when the price gradually goes down then the volume will pickup.
Sanjeev Varma - Daiwa Securities: Under notebook, when you exit fourth quarter, is it fair to say that it will be more than 70% with that LED backlight; the average 50% for the whole year?
Davis Lee: Are you talking about second quarter 70%.
Sanjeev Varma - Daiwa Securities: No, fourth quarter Q4 ’09?
Davis Lee: That’s very much possible, since every new product development or new program, which we are designed in, more than 95% is based on LED backlights. So, unless it is high necessary, all the notebook panels are already transitioned to LED backlight. In case of some special category of products, already LED transition has already happened, that’s fair to say.
Operator: Your next question comes from Andrew Abrams - Avian Securities
Andrew Abrams - Avian Securities: Just a couple of follow-ups; on the gross margin, I know it’s a difficult issue. I’m trying to understand what you would consider the more sensitive part of the gross margin; would it be pricing on a panel basis or would it be your cost structure, your ability to change your cost structure in order to keep your gross margins up? Is one of those factors greater than the other?
Davis Lee: The cost reduction is getting stronger and stronger actually considering current market situation, but we think we now are trying to see more potential on the pricing side.
Andrew Abrams - Avian Securities: Back to the LED backlight side; if you could just give a little color for the way that you are doing your notebook backlights; let’s use a 154 notebook as an example. I assume you’re doing at least one light guide, maybe two light guides. What’s the total number of LED’s that you wind up within a 154 notebook?
Davis Lee: I don’t have the exact data with me now, but again as I explained to you, the 15.4 cases, already in the industry is crossover; I call it crossover to 15.6 from 6 April to LED backlight; already that crossover is happening now. So moving on toward the second quarter, I think the LED portion is going to be higher than I expect.
Andrew Abrams - Avian Securities: Okay and as far as LED production, are you doing any internal production or do you expect to be doing any internal LED production during this year or next year or is this all going to be bought in the open market?
Davis Lee: I will pass that question to C.H. Lee to answer.
C.H. Lee: Yes, we actually are focusing on three kinds of methods to cope with the LED light sourcing related problem actually; not a problem at this moment. First one is we are using the vertical integrated pattern like LG Notepad actually. So they’re also producing some kind of the notebook used, the LED product actually, and the other one where we produce internally some kind of the LED product using some kind of chip which we have already some agreement to purchase in January this year. So, that other one is to have some strategic alliance with our partners, like some LED specialized companies. So that is our major method throughout our panels at this moment.
Andrew Abrams - Avian Securities: Would you expect most of it to be sourced domestically for you guys in the part that you do outside of your own production. When that actually happens, would you expected to be domestically sourced to it really doesn’t matter to you where it comes from?
C.H. Lee: Actually, the internal production where it happens in the overseas market, actually it will be in China in Nanjing, which we [Inaudible], so it will be produced overseas actually. So, yes internal use will be some portion, but that portion will not be increased in turn of the outside sourcing in Korea.
Operator: Your final question comes from Jeffrey Soo - Merrill Lynch.
Jeffrey Soo - Merrill Lynch: I just have one quick question. I know you commented that for TVs especially inventory remains quite lean. I was wondering if you could just share with us, what you’re seeing on the sell through recently of LCD TVs I guess in different regions. I think recently there’s been a lot of speculation or concern that sell through momentum is slowing down. If you could share with us kind of what you’re seeing recently and then also how we should think about it going into second quarter and how do you mange or try to think about this particular risk issue? Thank you.
Kevin Choi: First quarter sell through in North America is much higher than our expectation. Usually the North America LCD TV penetration is pretty high, so normally people expect about lower than 10% growth, but actually in January, February growth ratio is almost 35% higher. So still even though NPD data is going down, but still that NPD data does not include Wal-Mart, Cosco and other merchants. So, when we include that we still expect that March, the growth ratio is higher than 20% level. So the U.S. market, the growth ratio is much higher than expectation and that’s kind of making big shortage in some U.S. market retailers, the inventory situation. In Euro market also originally, normally people expect about 10% growth ratio this year, but actually January growth ratio is higher than 30% and March is still higher than 20% level, so continuously out performing compared to market expectation. In China also, everybody knows that China market, the growth ratio is higher than 60%, almost 70% right now. Even Japan market, the LCD TV Japan is the most highly penetrated over just the flat screen TV market and even Japan market normally people expect 5% to 6% level YoY increase, but first quarter increase is higher than 20%. Actually TFT data shows a 25% increase in the Japan market and even Korea market is also 80% growth ratio, which is showing right now. So the first quarter is much higher compared to everybody’s expectation; because of that inventory level it’s much lower right now. I also can say that last year November, December, TV manufactures didn’t buy enough panels because they want to reduce their December ending inventory. So all the channels, the inventory level is very low in December, but January, February, March, actual sell through number is a much higher than expectation. That makes the whole inventory situation very tight right now. Second quarter I think we already said that LCD is already fully loaded and another Korean company is also very busy, and Taiwan company I think is between 80% to 85% operation ratios then. Those from 80% to 85% to 100%; even though I think that the purchase is 100% still that cannot cover all those inventory shortage different. So I think that even end of June still inventory situation is not fully clear; that’s what I’m thinking.
Jeffrey Soo - Merrill Lynch: Okay and then just one follow-up. If that’s the case then in looking at there’s been, if we look at the whole TV market growth this year, I think people are looking for minus 5% to plus 10%, but is that realistic to say that we probably can at least achieve high teens or 20% year-over-year set growth?
Kevin Choi: Still I think that it’s too early to say that all these years the growth ratio of TV, what percentage of the growth ratio, but as of now I can say that YoY, maybe it should be high teens. I think that even though we didn’t change our number yet, but sooner or later in the market I think that even such a company we will announce that high teens is kind of a reasonable view I think.
C.H. Lee : Okay, times up and on behalf of LG Display, we thank you for your participation in our first quarter earnings conference call. If you have further questions, please contact either myself or my colleagues. Thank you.